Operator: Hello and welcome to the Janus International Group Fourth Quarter and Full Year 2021 Earnings Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Scott Sannes, Chief Financial Officer of Janus. Thank you, sir. You may begin.
Scott Sannes: Thank you, operator and thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson. We hope that you have seen our earnings release issued this morning. Please note that we have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today’s call may include forward-looking statements. Any statements made describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. Please note that the company’s actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it was made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margins, management adjusted EBITDA, management adjusted EBITDA margins, adjusted net income, and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today’s call, Ramey will provide an overview of our business and give an operations update. I will continue with a discussion of our financial results for the fourth quarter and full year 2021 as well as our 2022 outlook before we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Scott. Before I get into a discussion about our strong fourth quarter results, I’d like to take a minute to recap highlights and accomplishments of 2021, a transformative year which we ended on a strong note with plenty of momentum. We couldn’t be prouder of our employees’ dedication, execution and contribution to these fantastic results. In June, we became a public company. In August, we closed on the acquisition of DBCI and ACT. In November, we simplified our capital structure through the redemption of all of our warrants. And finally, we delivered strong financial results, exceeding our most recently issued financial guidance for both revenue and management adjusted EBITDA, all while combating the cost structure challenges of labor shortages, inflationary cost pressures, supply chain constraints and other pandemic-related impacts. The acquisition of DBCI had an immediate impact on our business and our results. The complementary combination of DBCI’s core contractor and distributor base is helping us grow our self-storage, commercial and Noke Access Control business. A significant part of the cost synergy plan from the DBCI acquisition involved consolidating two manufacturing facilities and two distribution centers into a single campus in the Houston, Texas area, which we completed during the first quarter of 2022. We continue to be excited about our Noke business. Its open orders have more than doubled over the past 12 months and the pipeline of opportunities, continue to grow. We continue to build out the Noke ground game and expect the integration of ACT, which we acquired in August to be an important part of supporting this rapid growth. ACT is a low-voltage security system integrator that specializes in self-storage in multifamily industries. With dedicated installation and service division, ACT has one of the largest geographic footprints in technology in the self-storage industry and therefore is a natural fit to accelerate adoption of our Noke offering. We are thrilled by the early success as well as the current trajectory of Noke as it becomes an increasing part of our offering to our customers and contributor to our financial results. With these two acquisitions, we now offer more comprehensive and value-added solutions to our combined customer set and we expect to unlock further value as we complete the integration. On a macro level, high occupancy rates and strong revenue growth rates of our primary customers are driving capital investment for additional capacity in the self-storage industry. Today, those investment decisions are being made by a larger, more sophisticated and better capitalized group of developers and owners of self-storage facilities, including the self-storage REITs and other institutional investors. The result is a significant tailwind for our business in terms of both new construction and the refurbishment or repurposing of existing structures as Janus is a leading beneficiary of capacity additions, no matter which form those capacity additions take. This dynamic is highlighted by our ability to grow our backlog by roughly 65% during 2021. In addition, we have a pipeline that is near historic highs, which positions us well for 2022. For the year, gross revenues of $750.2 million increased 36.6% as compared to 2020, including 30% organically. Full year adjusted EBITDA was $148.2 million, which was up 17.2% versus 2020 and represented an adjusted EBITDA margin of 19.8%. For the fourth quarter, gross revenue of $235.4 million increased 58.4% versus the prior year quarter, including 40.2% organically. Commercial and other led the way and was up 64.4%, R3 was up 58.4% and new construction was up 54.2% versus the prior year quarter. Adjusted EBITDA of $43.3 million was 26.7% greater than the prior year quarter. Now, let me give you additional color around our sales channel results for the quarter. R3 in commercial and other continue to generate strong growth consistent with prior quarters, while new construction saw significant acceleration in the fourth quarter following months of project delay related to pandemic and other economic factors. Today, facility owners, developers and operators add new capacity via conversions and onsite expansions at higher rate than through greenfield construction. We expect this trend to continue, which will further accelerate our R3 business, where we derive similar margins as new construction segment. The gains in commercial and other were driven by the continued e-commerce movement, share gains in both commercial steel roll-up door market and the rolling steel door market and the contribution of DBCI in the quarter. Even with the industry supply constraints, our lead times continue to be better than many of our competitors, resulting in superior growth. We have worked hard over the past several years ensuring the business has qualified secondary and tertiary suppliers and those efforts continue to payoff today. We have also grown inventories to combat higher logistic costs and better serve customers. These proactive efforts coupled with our industry leading market share in self-storage are positioning us to capture increased market share against this difficult supply chain backdrop. We are excited we were able to continue building on our momentum with solid results and cash flow, while also simplifying our capital structure via the redemption of all of our warrants during the quarter. As our end markets accelerate to meet increased demand for capacity, we look to leverage our strong market position to capture additional share and create long-term value for all of our stakeholders. With that, I will turn the call over to Scott for an overview of the financials and outlook for 2022.
Scott Sannes: Thanks, Ramey and good morning, everyone. I am proud of our success during 2021 in growing our business, generating healthy cash flow and concluding our first year as a public company that is poised for success. I will focus my comments on our fourth quarter performance, which exceeded our expectations for revenue and management adjusted EBITDA. I will remind you that management’s adjusted EBITDA excludes sponsor management fees, acquisition expenses, Noke-related startup costs and other non-recurring expenses. Importantly, we expect no significant difference between adjusted EBITDA and management adjusted EBITDA, beginning in the first quarter of 2022 and therefore, anticipate only reporting adjusted EBITDA going forward. In the fourth quarter, consolidated revenues of $235.4 million were up 58.4% or 40.2% on an organic basis compared to the prior year quarter, driven primarily by increased volumes as a result of favorable industry dynamics across all of our sales channels, share gains, commercial actions taken to offset inflation pressures and solid execution, as Ramey discussed earlier. Adjusted EBITDA of $43.3 million was up 26.7% compared to the year ago quarter, which was largely the result of the higher sales volumes, as previously mentioned, partially offset by higher cost of sales, continued strategic investments in Facilitate and the continued build-out of the Noke ground game to grow the business as well as incremental public company costs. As I just alluded to, Janus has taken actions to offset the inflationary effects of material, labor and logistics through a combination of commercial and cost containment initiatives, and we expect these measures to have a positive impact as we begin to catch up to the cost and margin pressures we have been seeing. Some of the initiatives include adding price escalation language to our longer-term contracts, seeking change orders on some legacy price backlog and continuing to focus on operational excellence through our 5S initiatives. The nature of our business is that price actions and their corresponding results typically lag moves in input costs by several months. Adjusted EBITDA margin for the quarter was 18.4%, which was down 4.6% from the prior year level, driven primarily by the inflationary pressures I just discussed and due to lingering impacts as we continue to work off legacy price contracts still in backlog. We started the fourth quarter with approximately 30% of our backlog representing legacy price contracts, and we finished the quarter at roughly half that level. As a result, we expect the fourth quarter to be the low point for adjusted EBITDA margins and for first quarter adjusted EBITDA margins to be higher as our commercial and cost containment initiatives catch up to the inflationary impacts we have been addressing. For the fourth quarter 2021, we produced adjusted net income of $20.5 million and adjusted diluted earnings per share of $0.14. In addition to the drivers already covered in my adjusted EBITDA discussion, adjusted net income was impacted during the quarter by lower income tax expense, partially offset by increased interest expense associated with the incremental debt from the DBCI acquisition, coupled with increased expense associated with the mark-to-market of the private placement warrants prior to their redemption in the fourth quarter. Adjusted diluted earnings per share was unfavorably impacted by a new capital structure in Q4 ‘21 versus Q4 2020 in which the outstanding share count was significantly higher in 2021. For the full year, we generated cash from operating activities of $74.8 million, including $15.1 million in the fourth quarter. During the quarter, we invested in working capital to support the ongoing growth of the business, including an increase in inventory to ensure supply to our plants in the current raw material constrained environment and higher accounts receivable from increased revenues. Capital expenditures for the year were $19.9 million. In the fourth quarter, CapEx was $3.9 million, a significant reduction from the third quarter, during which we purchased a building in Houston, Texas. We began consolidating both manufacturing and distribution facilities related to our DBCI acquisition synergies, which remain on track. During the fourth quarter, we executed a sale leaseback transaction on the purchased facility that netted proceeds of $9.6 million. We are proud of our free cash flow profile, which reflects the financial strength of our results. In the fourth quarter, our free cash flow conversion of adjusted net income was 101%, while for the full year, that conversion was 96% even as we made the investments in working capital I just discussed. We finished the year with $86.8 million of total liquidity, including $13.2 million of cash and equivalents on the balance sheet. Our total outstanding debt at year-end was $728.7 million. As previously mentioned, during the quarter, we simplified our capital structure when we redeemed all of our outstanding warrants and we finished the year with 146,561,717 shares outstanding. Before I discuss our outlook, I will mention that our 2021 Form 10-K filing will be our first as a public company. I’d like to provide some information that will be included in that document and a related 8-K filing. We filed a Form 8-K this morning detailing non-cash technical errors in the accounting for the private placement warrants and transaction bonuses associated with the business combination in June 2021 for the previously issued consolidated financial statements for the second and third quarters of 2021. Our 10-K, which will be filed after market close today, accurately reflects these corrections to our financial statements. The adjustments to our second and third quarter financials are non-cash and have no impact to our revenues, gross margins, adjusted EBITDA or cash flow for any period. In addition to the 8-K, in our Form 10-K, we identified material weaknesses relative to entity-level controls, management review controls, financial reporting and IT general controls. To remediate these matters, we have hired key personnel within accounting, FP&A, tax and IT as well as hired an external third party to assist us with our SOX compliance efforts. We plan to add additional resources to ensure compliance. Together, we have implemented changes to our processes, procedures and controls. With the implementation phase nearing completion, we will be progressing to the testing phase in short order to ensure the sustainability of these internal controls, which we believe will allow us to get these priority matters resolved during 2022. Turning to guidance. Full year 2022 revenue is expected to be in the range of $845 million to $865 million. At the midpoint, this represents a 14% increase compared to full year 2021 results, driven primarily by strong organic growth outlook, full year contributions from DBCI and ACT and increased contribution from the commercial initiatives we have taken to combat inflationary pressures. Adjusted EBITDA is expected to be in the range of $183 million to $190 million. At the midpoint, this represents a 15.5% increase versus the full year 2021 results. I would also like to make an additional note concerning our full year 2022 guidance. You will recall, we used a 4-4-5 reporting calendar, where each quarter has 13 weeks, including two 4-week months and a 5-week month. As outlined in our 10-K, every few years, we have a 4-4-6 quarter to keep rough alignment with the end of the calendar year. This was the case in 2021 and therefore, our 2022 guidance reflects one fewer week of results as compared to 2021. As I mentioned a few minutes ago, we expect first quarter 2022 adjusted EBITDA margins to increase compared to the fourth quarter of 2021 as our commercial actions catch up to our margin pressures from inflationary increases resulting from materials, labor and logistics. We also expect the second half of the year’s margins to be higher than the first half. We expect to produce another year of strong cash flow conversion of adjusted income, which will allow us to continue making progress in driving down net leverage towards our goal of 2.5x to 3.5x based on our strong cash flow profile. We are pleased that profitability growth is expected to outpace revenue growth as the commercial and cost savings initiatives that we undertook last year continue to take hold. Finally, we are off to a good start in Q1 with revenues and profits in line with our expectations. Thank you. I will now turn the call back to Ramey for closing remarks.
Ramey Jackson: Great. Thank you, again, Scott. We are proud of how Janus performed during 2021. We closed out the year with another quarter of outstanding growth. We entered 2022 well situated for improvement in EBITDA margins as our commercial and cost containment initiatives began to catch up to the inflationary impacts we have experienced and as legacy price contracts continue to be worked out of the backlog. As we celebrate our 20th anniversary as a company this year, I firmly believe in the power of this organization and our ability to deliver strong margin performance and earnings growth over the long-term. I look forward to continuing our positive momentum in 2022 and beyond as we drive long-term value creation for all of our stakeholders. Thank you again for joining us. Operator, we can now open up the lines for Q&A, please.
Operator: Thank you.  Our first question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please proceed with your question.
Jeff Hammond: Hi, good morning, guys.
Ramey Jackson: Good morning, Jeff.
Scott Sannes: Good morning, Jeff.
Jeff Hammond: So just want to start on the revenue guidance, 14% at the midpoint. Can you just kind of run through what you think the acquisition contribution is? How you think about price and volume within those numbers?
Scott Sannes: Yes. So roughly speaking, it’s about 50% kind of half from organic, half from inorganic. And then if you further stratify that for the 50% organic piece, about two-thirds of that would be volume and third of that would be price.
Jeff Hammond: Okay. And then just kind of talk about the dynamics between the three segments, commercial has been very strong. And I think outside of fourth quarter, R3 had kind of been outpacing new, but just how those are developing through the year?
Ramey Jackson: Yes, I think as – Jeff, this is Ramey. Good question. So I think it’s consistent with what we saw last year. On the self-storage side, customers are choosing kind of conversions, if you will, that’s allowing them to bring capacity to market a lot faster than kind of greenfield construction. And that’s kind of no surprise to us when you look at the effects of kind of e-commerce and the effect it’s taken on big box retail, and we expect to see that continue moving forward. And in addition to that, kind of the new construction projects that were slow to come on board last year, those are starting to push through. So we see an increase in that as well. And then as it relates to the commercial side of the business, that end market with commercial warehousing still extremely robust. And we expect to pick up shares well in that segment.
Jeff Hammond: Okay. And then just last one, I think you said you got through kind of half of the lower-profit new construction contracts. Just one, when do you think you’re kind of completely through those? And two, just talk about anything you’ve been able to do around kind of canceling or renegotiating any of those to kind of improve the outlook there? Thanks.
Scott Sannes: Sure. Yes. Good question, Jeff. So in terms of when we will be through those, the way in which we’ve kind of prepared the guidance is the vast majority of those will be behind us after the first half of ‘22. And then in terms of other actions that we’ve taken, we mentioned earlier in the call that we have been successful in obtaining some change orders. There have been a very small number of cancellations, but the preponderance of it is either we’ve honored – we’ve either honor the price, we’ve either obtained a change order on the existing contract or in some cases, we’ve negotiated. We’re not going to be able to obtain price necessarily on what’s in backlog, but we will be able to do something on a future contract with that existing customer.
Jeff Hammond: Okay, thanks so much.
Scott Sannes: Thanks, Jeff.
Operator: Our next question comes from the line of John Lovallo with UBS. Please proceed with your question.
John Lovallo: Good morning, guys. And thank you for taking my questions as well. I think, if I recall correctly, steel coils are about, call it, 60% of your material spend. Just curious what’s embedded in your outlook in terms of steel prices? And are you seeing or do you expect to see any impact from what’s going on in Russia and Ukraine?
Scott Sannes: Yes, good question. So the way in which we’ve kind of modeled the budget is we had some minor reductions included on a quarter-by-quarter basis throughout the ‘22 year based on what we were seeing at the future curves. We did take a relatively modest approach there. Obviously, we are right now carefully watching the Ukraine-Russia conflict and what that is doing to the prices. I think we still feel pretty good with where we’re at today in terms of the guidance that we have provided. But obviously, we will continue to monitor that as the conflict continues.
John Lovallo: Okay. Got it. And then how are you guys thinking about the potential impact from rising interest rates just, I guess, on the new construction side? And then if we think about the potential impact on housing demand and if there is less turnover in the housing market, if that has any impact on your business?
Ramey Jackson: Yes. Look, we’re certainly paying attention to that. We’re in conversations with our customers. But John, I think if you look at the end market, and I’ll speak to self stores, in particular. The influx of more of institutional capital, we feel like if there is movement on that front in terms of increase in rates, that’s going to impact the non-institutional more than the institutional. But overall, we’re extremely bullish because of the kind of secular growth and all the dynamics into self-storage limited capacity. Look, the industry sold out. And so we’re very optimistic that we will continue to get that momentum on that side of the business as well.
John Lovallo: Thanks, guys.
Scott Sannes: Thank you.
Operator: Our next question comes from the line of Stanley Elliott with Stifel. Please proceed with your question.
Stanley Elliott: Hi, good morning, everyone. Thank you for taking the question. Maybe piggybacking on that last question, I mean with the guidance of 14% revenue growth, it doesn’t sound like you are going to make much of a dent at least from a utilization standpoint within the industry kind of still hovering in that mid-90% range. Just want to clarify that first off?
Ramey Jackson: That’s correct.
Stanley Elliott: In terms of – Scott, in terms of some of the additional spending that you all have in tow or planned for the year, do you think you leverage the SG&A line kind of on this higher spend, or do you think most of the improvement this year is going to come from gross margin line?
Scott Sannes: Yes. Good question, Stanley. I think a good portion of it is going to come from the gross margin line. In terms of the kind of SG&A, we have got continued strategic investments that we are making to continue to accelerate the growth of the business. We have got kind of a full year of public company costs flowing through in ‘22. So, I think the preponderance of the EBITDA margin expansion will come on the gross margin line.
Stanley Elliott: Perfect. And then lastly for me, you mentioned the Noke open order is up more than 2x. When does this start to hit the revenue base? When – curious, I guess if any feedback you are getting from some of the trials out there in the marketplace about potentially expanding that into other facilities?
Ramey Jackson: Yes, great question. I think if you look at it today, it’s relatively insignificant, probably circa 2% of our revenue. But I couldn’t be more excited about it. When you look at what the industry is doing with technology kind of streamlining processes, when you think about the labor shortage today, it certainly impacts our customers from an operational perspective. And our Noke solution provides a way to streamline those operations. So, in terms of kind of customer trials, we have a lot of customers that are adding it portfolio wide. So yes, super happy with the momentum with Noke, and I believe we are in the early – kind of early innings of progress there, Stanley.
Stanley Elliott: Perfect guys. Thanks very much and best of luck.
Ramey Jackson: Thanks.
Scott Sannes: Thank you.
Operator: Our next question comes from the line of Reuben Garner with The Benchmark Company. Please proceed with your question.
Reuben Garner: Thank you. Good morning everybody.
Scott Sannes: Good morning Reuben.
Reuben Garner: Congrats on the strong close to the year. First question is on price/cost. Can you tell us how much of a drag you had in 2021 from either a dollar or a percentage perspective? And then maybe what’s embedded in the guidance at the midpoint for 2022?
Scott Sannes: Yes. So, I guess in terms of the guidance for 2022, the – I guess what’s embedded again is kind of similar. You got two-thirds of that being kind of organic growth and one-third being driven by price, but we are – you are seeing – with the gross margin expansions, you are seeing, obviously, the legacy priced contracts having a lesser impact going forward. And in addition, you are seeing the commercial and cost containment issues – I am sorry, cost containment initiatives having a larger impact in ‘22 as those actions kind of catch up to the cost increases.
Reuben Garner: Sorry, Scott. So, I meant the – like the price/cost drag that you guys had because of some of the legacy contract issues in 2021, can you tell us what the total dollar amount of that was and how much you are assuming you get back this year?
Scott Sannes: Yes. So, I don’t think we have publicly kind of disclosed that number previously. What I can tell you is, obviously, it was a significant amount in 2021 and again, largely because of the fact that the price actions and the cost containment actions had the lag time. But in 2022, we believe that, that will catch up and actually, in some cases, surpass the overall cost impact that affected the business in ‘22. And that’s why you are seeing the margin expansion in ‘22 versus ‘21.
Reuben Garner: Okay. Perfect. And then the new contracts, is there anything we should think about if steel prices were to roll over maybe faster than we are thinking where it would be different meaning the escalation clauses weren’t there necessarily on the way up? If prices are going down faster than you expect, would you expect to kind of recover faster, or do the new contracts have some sort of different language that limits your benefit on the flip side?
Scott Sannes: Yes. No, to your question, we would expect to recover faster if that played out as you acquired.
Reuben Garner: Okay. Great. And then last one for me is on the cash flow side. It sounds like you are expecting to de-lever some this year, can you maybe walk us through any puts and takes? I assume that inventory with steel rolling over should be a tailwind on the working capital front. Any other things or directionally, anything that you can point us towards to help us for 2022?
Scott Sannes: Yes. I think you have got – obviously, we are seeing margin expansion. And then as you said, we made a pretty significant investment into working capital this year, namely inventory, largely to help offset and be able to make sure we can achieve customer requirements based on the material supply constraint environment we are operating in today. So, that was a conscious effort again to invest in the working capital there. You saw some increases in accounts receivable as well, largely due to both commercial initiatives and volume. For ‘22, we don’t expect that trend to continue. And so with that, coupled with the margin expansion, I feel comfortable that we will be able to continue to de-lever the business in ‘22 and beyond.
Reuben Garner: Great. Thanks. Congrats again and good luck this year guys.
Scott Sannes: Thanks Reuben.
Operator: Our next question comes from the line of Josh Pokrzywinski with Morgan Stanley. Please proceed with your question.
Josh Pokrzywinski: Hi, good morning guys.
Scott Sannes: Good morning Josh.
Ramey Jackson: Good morning Josh.
Josh Pokrzywinski: Just on the price component here, just given how kind of significant steel is in the cost buildup. I am surprised to see only kind of a couple of points of price here in the ‘22 outlook. And Scott, you mentioned that gets you pretty far ways down the road towards parity. Just trying to unpack like are there any other pieces that are sort of moving in opposition there on a year-over-year basis that are sort of alleviating that tailwind, I guess, like just more kind of the sake of comparison, other kind of less raw material heavy cost structures, whether it’s steel, copper, aluminum, resins, whatever, are seeing price up kind of 10% to 15% exiting ‘21? I am just – I am surprised to see only a couple of points in price in ‘22. Like anything there that we should be aware of that kind of requires a little bit less price?
Scott Sannes: Yes. So, great question. I think there is a lot to kind of unpack there, I would say. Again, in the guidance, we have got sequential kind of margin improvement throughout the year. As far as some of the items that are potentially offsetting that, you have got labor inflation that, as we know, with everybody is facing that today, still seeing logistics, I will call it, difficulties or a challenging environment in terms of obviously, as we are looking at today, right, fuel surcharge costs as well as container costs from China, etcetera, just continuing to see a lot of price escalation there. Some other factors, you have got the recent M&A activity is slightly dilutive to the overall kind of margin profile of the business. And then as previously mentioned, you have got strategic investments that we are continuing to make to bolster our Noke product line, our facilitate division and other strategic growth initiatives to ensure continued accelerated growth in the future. And then lastly, as previously mentioned, we have got kind of a full year of public company costs flowing through in 2022, which we had circa half a year flow through in 2021.
Josh Pokrzywinski: Got it. But just to be clear, even with all the steel exposure you guys have, that kind of two points, three points of price in ‘22 guidance is sufficient to get you to where you need to be. There is no other input that’s down like 30% that we are kind of less aware of, right?
Scott Sannes: Yes, that is correct.
Josh Pokrzywinski: Okay. Got it. And then just thinking about the R3 environment here, you guys have done very well on some of those conversions over the past year. And I think like you have said in the past, some of that is sort of a time-to-market issue. What are you seeing there in terms of kind of viable projects? I mean at some point, I would think kind of the uptake on the things that can be quickly converted into kind of a rentable property or kind of finite. Like at what point do we have to start to swing back more towards new construction as a function of just kind of property availability? Is that something that’s picked up at all?
Ramey Jackson: That’s a great question, Josh. But what I can say is we feel like the e-commerce movement is just beginning. I think the availability of big box retail will continue to accelerate. It’s hard to kind of identify when that cools off. With that being said, we will continue to focus on greenfield operations. And we feel like that as we get past kind of the COVID, getting people back to work, the log jams at the permitting office, we feel like the new construction or greenfield operations will continue to accelerate. But it’s really hard for us to predict when the e-commerce kind of big box retail situation kind of slows down. But from my perspective, it’s just beginning.
Josh Pokrzywinski: Got it. That’s helpful. And then maybe just final one, sorry to keep picking away on price here, I just want to make sure I am clear. I know you had kind of existing backlog that you are still sort of honoring in some cases, is there sort of a new price for 2022 ex kind of the backlog dynamic that adds a couple of points, or are you kind of snapping the line on existing backlog such that this two points or three points in guidance is kind of the real number? Does that make sense?
Scott Sannes: Yes. I think so we have not gone out with any kind of commercial actions in ‘22, since kind of, I don’t know, July or August of ‘21. And so again, the way that we have got this playing out is just those cost containment initiatives as well as the commercial initiatives are catching up, and in some cases, exceeding the cost increases that we experienced in ‘21. And I would say – I guess the other comment I would just say is, right, we built kind of a plan that we have a high degree of confidence in achieving.
Josh Pokrzywinski: Thanks for the color. Best of luck guys.
Ramey Jackson: Thanks Josh.
Scott Sannes: Thanks Josh.
Operator: Thank you. We have reached the end of the question-and-answer session. Mr. Jackson, I would now like to turn the floor back over to you for closing comments.
Ramey Jackson: Yes. Thanks Christine. Thank you, everyone for joining us today. We appreciate your support of Janus International Group and look forward to updating you on our progress. Have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.